Operator: Good morning, everyone, and welcome to the Fourth Quarter Fiscal 2012 Earnings Conference Call. [Operator Instructions] Please also note that today's event is being recorded. I would now like to turn the conference call over to Ms. Anderson. Ms. Anderson, Please go ahead. 
Lindsey Anderson: Good morning, and welcome to Investors Real Estate Trust's Fourth Quarter and Year End Fiscal 2012 Earnings Conference Call. IRET's earnings release and supplemental disclosure package for the 3 and 12 months, ended April 30, 2012, are posted to our website and also furnished on Form 8-K on June 29. In the earnings release and supplemental disclosure package, Investors Real Estate Trust have reconciled all non-GAAP financial measures to the most directly comparable GAAP measures in accordance with the requirements set forth in Regulation G. If you have not received a copy, these documents are available on IRET's website at iret.com in the Investors section. Additionally, a webcast and transcript of this call will be archived on the IRET website for one year. 
 At this time, management would like to inform you that certain statements made during this call, which are not historical, may constitute forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Although Investors Real Estate Trust believes the expectations reflected in the forward-looking statements are based on reasonable assumptions, Investors Real Estate Trust can give no assurance that its expectations will be achieved. Factors and risks that could cause actual results to differ materially from those expressed or implied by forward-looking statements are detailed in Friday's earnings release and from time to time in the Investors Real Estate Trust filings with the SEC. Investors Real Estate Trust does not undertake a duty to update any forward-looking statements. 
 With me today from management are Tim Mihalick, President and Chief Executive Officer; Diane Bryantt, Executive Vice President and Chief Financial Officer; and Tom Wentz, Jr., Executive Vice President and Chief Operating Officer.
 At this time, I would like to turn the call over to Tim Mihalick for his opening remarks. 
Timothy Mihalick: Thank you, Lindsey, and good morning, everyone. It's my pleasure to have the opportunity to speak to you again about IRET. IRET recently completed its 42nd year in existence and I am happy with the results. We made progress over the last year, but I believe more importantly, we have set the tone to allow IRET to expand on its history.
 As I look back over my last -- my transcripts of the last 2 earnings call, I noticed that the team continues to be focused on the strategic plan we have put into operation. In-line with that plan, we have closed on a number of acquisitions within our core markets. Most notably, the Villa West Apartments, a 308-unit complex located in Topeka, Kansas; Colony in Lakeside Village Apartments, 440 units located in Lincoln, Nebraska; and the acquisition of 40 acres of land in Williston, North Dakota, which will allow the construction of up to 850 units in the housing short city in the Bakken Oil Shale Formation. 
 Additionally, as the City of Minot continues its recovery from the devastating flood of 2011, IRET was able to put 32 units of a 64-unit complex of the flooded Chateau Apartments back into operation. Additionally, we brought back online the flooded Arrowhead Shopping Center. Also, to stay consistent with our strategic focus, I would note that we have exited the State of Michigan, subsequent to the end of our fiscal year, the sale of our property in Kentwood, Michigan.
 As we move forward into fiscal year 2013 and beyond, we recognize the need to continue to reduce the age of our portfolio, through dispositions of older properties and recycling those proceeds with the acquisition of newer property properties and development projects. We realize that as we make our portfolio "younger", these properties require less CapEx due to their age and it helps us accomplish our goal of increasing our AFFO number and the corresponding coverage as it relates to our definition of AFFO. IRET will continue to enhance our balance sheet and income statement to better reflect the expectations in the marketplace and key industry metrics such as FFO, AFFO and debt-to-EBITDA. Although fiscal year 2012 continued to see our  operating results affected by a slowly recovering economy, particularly in our Commercial Office segment, we consider our commercial portfolio well-placed to benefit as the economy does recover. 
 In line with the changes that I believe IRET needed to make, I am pleased to announce the addition of Mark Reiling to the IRET team. Mark will oversee the operation of IRET's entire real estate portfolio in the 12-state area in which we operate. Mark brings 33 years of diversified real estate experience to IRET, and his extensive experience in all aspects of the real estate operations and finance, and the depth and breadth of his knowledge in the Minneapolis-St. Paul market, real estate market, in particular, where IRET has significant presence, will be of great value to us as we manage and expand our portfolio.
 Additionally, I have reorganized my senior team by promoting to Executive Vice President, Diane Bryantt, to Executive Vice President and Chief Financial Officer; Mike Bosch, to Executive Vice President and General Counsel; and Tom Wentz, Jr. to Executive Vice President and Chief Operating Officer. Tom, who currently handles the duties which Mark Reiling will assume, will concentrate more specifically on capital markets, as well as the asset acquisitions, dispositions and property development. I'm excited about the changes which have occurred and look forward to seeing this group in action.  I also wanted to state that I believe IRET's unique position in the marketplace truly offers an investor an opportunity to invest in the only geographic pure-play REIT in the Midwest. We have always believed that due to our location, IRET has needed to have a diversified portfolio in order to obtain returns we expect to deliver to our investors.
 Lastly, I wanted to touch on IRET's headquarters located in Minot, North Dakota, which serves as a gateway to the Bakken Oil Formation. As you can see on this slide, IRET is well-focused to take advantage of the real estate opportunities this energy boom has created. Since we last spoke, North Dakota's oil output has increased, allowing this state to become the second-leading oil producer in the nation only behind the state of Texas. The amount of dollars being spent to develop infrastructure to produce this oil is reaching into the billions, and IRET is well-positioned to take advantage of the real estate opportunities this will offer. 
 As you look at this map, note that IRET has real estate holdings in Minot, North Dakota; Bismarck North Dakota; Rapid City, South Dakota; Billings, Montana and Williston, North Dakota. As you can see, it appears we have it surrounded. I believe it is important to note we have holdings in these markets with people on the ground, and I believe it gives IRET a distinct advantage to capitalize on the opportunities right in our own backyard. Thank you. And I will now turn the call over to Diane Bryantt, Executive Vice President and Chief Financial Officer. 
Diane Bryantt: Thank you, Tim. And good morning, everyone. Today, I will give a brief summary of highlights and results of operations in the fourth quarter and year-to-date as reported in the 8-K earnings press release, which was issued on Friday, June 29.
 In the fourth quarter, revenues increased to $61 million, a 2.7% increase over the prior quarter and basically unchanged from the third quarter of fiscal 2012. This quarter-over-quarter increase in revenue is primarily due to acquisitions of property.  Occupancy percentage in our stabilized segment increased in 3 of our 5 segments, with multifamily showing continued increases and Commercial Office and medical with lower comparative results. Tom Wentz, Jr. will discuss later more of what we see in the marketplace as far as leasing trends and expectations for this segment.
 Also in the fourth quarter, we received proceeds from the insurance claim on our flooded properties for loss of rents and replacement of assets. The Arrowhead Shopping Center loss of rent was $347,000 and Chateau, $319,000, for a total loss of rents reimbursement for the fiscal year of approximately $700,000. The gain due to involuntary conversion realized as of April 30 on the Arrowhead Shopping Center was $274,000. At this time, we are finalizing the final settlement on Arrowhead and anticipate final settlement of this recovery effort to be no later than the second quarter of fiscal '13. At this time, we know there will be additional gain on Arrowhead, but unable to estimate. 
 Regarding Chateau, 32 units of the Chateau Apartments that were flooded were opened for occupancy on May 15. It was fully-leased at that date. However, the second 32-unit was completely destroyed by fire on February 22. Given the additional complications due to the fire, we again are unable to estimate at this time the potential involuntary gain, but we feel we should have this resolved in the second quarter of fiscal '13. These termination fees were $195,000 in the fourth quarter and year-to-date were $533,000 as compared to $184,000 in the prior fiscal year. 
 Moving on to expenses. In the quarter, as compared to the prior year, we were down $3.4 million or 7.8%. It was good to see the mild winter season have a positive effect on our expense side as the past 2 or 3 winter seasons had seen higher cost proceeding snow removal and also with the increase in vacancy in our Commercial segment, IRET has had to absorb more of those costs and we were unable to recover those reimbursable expenses.  In the fourth quarter, we also received approximately $700,000 of proceeds from our fiscal 2009 bankruptcy claim associated with our lease with Walton Brother [ph]. The effect was a reduction to management expense in the retail segment as this was applied to bad debt expense.  We also had $76,000 of acquisition expenses in the fourth quarter. Year-to-date, these expenses were $542,000. These expenses are included in the other expense section within the consolidated statement of operation. More detailed discussion and presentation will be provided on the year end performance by segment type in the Form 10-K annual report that will be filed on July 16. However, I will now summarize some highlights. 
 For the year, revenues increased $4.8 million to $242 million. The primary increase in revenues was from the acquisitions of new properties of approximately $7 million. Offsetting that was a decrease in revenue from our stabilized properties of $2.2 million. Our multifamily segment definitely was the highlight of the year with a $7.3 million increase in revenue, but offset by lower revenue in our Commercial Office and Commercial Medical segment of $3.9 million.
 Real estate expenses decreased by $3.5 million or 3.5% over the prior fiscal year. New acquisitions accounted for a $1.8 million increase, while stabilized properties were $5.4 million left. Again, mild seasons positively affected the expense side of our operations, but a change in operation structures at our Wyoming Assisted Living facilities from a taxable REIT subsidiary to a triple net lease structure provided these variances on both the revenue and expense side. These properties are held in our Commercial Medical segment.  
 Just to summarize a bit of what that change in the medical segment was due to the change in the Wyoming portfolio for the comparative period, the decrease in revenue was $2.6 million, more than offsetting decrease in expense of $2.2 million for the competitive period. And net operations are basically same, but significant variances in the comparative revenue and expense categories exists due to this change. Going forward, the fourth quarter operations reflect the full 3 months of a triple net operation and are what we expect going forward in this segments.
 Net operating income of our real estate overall showed an $8.6 million increase, again, due to primarily acquisitions and expense reduction. Other comparative year-to-year comparative effect for our net income were: an increase in depreciation expense of $1.9 million, an increase in interest expense of $1.3 million. This increase in interest expense of caused primarily by increased borrowing during the year on our line of credit and interest on new acquisition. 
 Overall, income from continuing operations was $5.4 million greater than the prior year. Overall, we are not yet where we want to be, but fiscal 2012 showed increase in all our operating segments, except for Commercial Office and a lesser degree to our Commercial Medical segment. We know the Commercial Office segment has experienced more the effects of the prolonged economic challenges, especially in the markets where these assets are located.
 Moving on to FFO. We reported fourth quarter FFO of $0.18 per share a unit and $0.02 -- this is $0.02 greater than the third quarter and $0.03 greater than the prior fiscal quarter. Year-to-date, FFO is $0.65 as compared to $0.63 in the prior fiscal year. Although we had some non-reoccuring events occurred in the fourth quarter, overall, we have seen positive contributions to FFO from operation due to increased occupancy in most of our segments and experienced more normalized expenses affected by the seasonality in our market. These positive outcomes are still affected on a per-share basis due to dilution as the lag effect of dilution slowed FFO growth as we raise equity to fund our development projects and to close on acquisitions. 
 Onto the balance sheet. Cash on hand at the end of the year was $40 million, with $21 million still available on our credit facility. We're still maintaining good liquidity and have a strong balance sheet.  The major sources and uses of cash were as follows: regarding acquisitions, in the fourth quarter, we acquired 2 multifamily properties consisting of 200 units for a total purchase price of $17.2 million, with a blended underwritten cap rate of 7.45%. We also opened for lease 2 buildings in the multifamily development project in Williston, North Dakota, with a total cost of $9.7 million, with a going-in cap rate of approximately 16%. We also acquired vacant land in Williston, North Dakota for $4.6 million. Overall, acquisitions and development projects placed in service in fiscal 2012 was $97.1 million. This compared to $45.6 million in the prior fiscal year.
 Currently, we have $49.8 million of development projects underway, with $27.6 million already invested. These projects and locations are detailed within the supplemental information in the earnings release. This division during the year consisted of 2 small retail properties with a total book value of approximately $2.9 million. Also, subsequent to year end, we sold a small retail property in Kentwood, Michigan, with a net book value of $600,000, which exited our presence in the State of Michigan. 
 Moving onto the debt refinancing activity. In the quarter, we closed $47.1 million of mortgage loans. This consisted of $11.7 million in acquisition debt, $10.2 million construction debt and closed $25.2 million in refinance debt. On the refinance debt, we generated $5.6 million in cash-out proceeds during the quarter, and bringing total cash out for the year of $46 million. Overall, we successfully closed 39 loans this year totaling $152 million in mortgage debt compared to last year of 26 loans and $180 million in mortgage debt. At year end, our weighted average interest rate was 5.78% versus 5.81% from the previous quarter. Our weighted average term to maturity remains at 7 years.
 The outstanding balance of our line in credit decreased to $39 million by quarter end. The commitment capacity remains at $60 million. Also, subsequent to year end, we also lowered the interest rate floor on this line of credit from 5.65% to 5.15%. We have one loan of $2.2 million maturing in the upcoming first quarter of fiscal '13. However, subsequent again to quarter end, the loan was paid off in cash. 
 Equity rate during the year came primarily from the aftermarket program, where we issued 2.9 million shares with net proceeds of $21.3 million. For fiscal 2012, total equity that provided investment dollars increased by 7.6 million shares or $55.7 million. These proceeds, along with mortgage debt, were used to fund acquisitions and development projects as we had discussed. And finally, just this morning, we did pay the required dividend to shareholders on July 2 to shareholders of record on June 15. This will be IRET's 165th consecutive quarterly distribution. 
 With that, I will turn it over to Tom Wentz, Jr., Chief Operating Officer. 
Thomas A. Wentz Jr.: Thank you, Diane. Consistent with my past presentations, this morning, I will provide an overview of the fourth quarter that ended April 30, 2012, as well as provide a review of the recently completed fiscal year, covering the trailing 12 months of operations. I will briefly cover the credit markets as they pertain to IRET, and then wrap up with an overview of IRET's segment operations, as well as pending acquisitions, dispositions and development.
 Our fourth quarter results continue to trend of overall improved operations. At the start of the year, we outlined a number of areas of focus in an attempt to mitigate what we expected to be generally challenging economic conditions with no meaningful improvement in the Commercial Office segment. Our primary focus has been on finalizing our internal management initiative to improve occupancy, grow rents and decrease expenses. With the exception of Commercial Office occupancy, we made significant progress in these areas.  
 Second, we shifted our capital to strategically grow the strongest segments of our portfolio, multifamily and medical, as well as the strongest markets in our portfolio, the Bakken energy region of North Dakota and certain multifamily markets. Our review of our acquisitions confirms again solid progress in this area as well. We added quality multifamily and medical assets, highlighted by both commercial and multifamily development in the heart of the Bakken energy field. 
 Third, since the Commercial Office market has remained tangled in a very challenging environment for what is now approaching almost 6 years and our move to internal management is substantially behind us, going forward, we plan to commit additional staffing to focus on this segment with the goal of improving performance, as well as carefully evaluating all operational and strategic options as it pertains to our commercial portfolio. Over the past 12 months, almost every meaningful operating and financial metric has improved for IRET. While we still have further to go in many areas and are not satisfied, we are very well-positioned to continue to execute on our plan to grow in our core markets and segments, including adding substantial multifamily development to capture what we see as very good revenue opportunities.
 Even though revenue remains under pressure in all commercial segments and material growth is somewhat capped in certain residential markets due to the overall economic environment, we are confident we can continue to accretively grow our operations and further effectively control expenses.  Absent the significant backtrack in the U.S. economy, our expectation is overall operations will continue to improve modestly. In our multifamily segment, given our current occupancy, our focus is now on growth in revenue from existing customers and by proactive expense control, as limited additional revenue can be captured by improving occupancy.
 On the commercial side, the overall slower office employment trends, along with the continued focus on cost cutting through reducing rental space, continues to stubbornly drag on across virtually our entire Commercial Office portfolio. We have made positive progress in our smaller commercial segments of retail and industrial. But again, with the completion of previous initiatives, we plan to aggressively focus on our commercial portfolio in order to create value. Our medical portfolio continues to perform on a very consistent basis with no real change as our on-campus assets continue to perform well in the areas of renewal and rent increases. Our off-campus portfolio, which consist of only a handful of buildings, continues to struggle as health care real estates needs have turned their focus to locations near established hospital campuses.
 Subsequent to the election this fall, we see the removal of the overhang from the Supreme Court challenge to healthcare reform as a positive for medical space users. Hospitals, in our opinion, are likely to be the biggest beneficiaries of adding millions of insured users to the system. However, the only real solution to the problems facing our Commercial Real estate segment will be an accelerated economic recovery that not only reduces unemployment, but also creates real income growth in the United States.
 Until this occurs, we expect corporate real estate users will likely continue with their push towards smaller footprints and denser employee accounts in smaller spaces. Larger public companies continue to see real estate as a controllable expense line item that can be reduced. Even though -- even so as mentioned in our last call, we continue to see improved leasing trends as compared to prior periods. Whether this will actually translate into a material amount of new leases remains to be seen.
 For the year-to-date, we are pleased with the improvements in occupancy and retail and industrial and overall increased net revenues across our entire real estate portfolio operations. Until we can get Commercial Office back on track, we will continue to work to offset the drag by growing our strongest segments and markets. As we enter the summer months, we expect commercial leasing overall to remain favorable, with retail and industrial being the leading indicators of a sustained modest economic recovery. However, again, until the overall commercial market vacancy rate returns to lower teens or single digits, we accept -- expect that our policy of accepting market rate leases is likely to result in reduced revenue despite higher occupancy gains.
 IRET's CFO provided the details on recently closed debt, so I won't spend any time reviewing other than confirm that while we would not have predicted interest rates continuing to decline, they did, which again has allowed IRET to reduce its overall weighted average interest rate. This roll down in rates have saved IRET millions of dollars over the last several years and has provided some mitigation to the pressures created by our Commercial Office portfolio. Debt markets continue to operate very well for IRET as we have multiple options to leverage our existing portfolio, as well as acquisitions and developments. These historically low interest rates will continue to provide IRET with the ability to lower our interest expense cost on maturing debt as current rates for the most part are below the rates on maturing debt.
 The primary negative to lower rates is the increased cost associated with early debt retirement or prepayment, which can create an obstacle to sale or accessing built-up equity in our long-hold assets. The amount of maturing debt over the next several years is compared -- is low compared to prior years. However, we will continuously review all loans for refinance opportunities, as this provides IRET with the least expensive source of capital for acquisitions, funding of operations and capital improvements.
 We do not anticipate any material change to our leverage policy of fixing most debt long, but we are evaluating an increased number of assets with maturing debt for refinanced options with more flexibility on the prepayment as we expect this to be something that will afford us the opportunity to consider more options as we turn our focus to finding positive solutions for our commercial operations. 
 Moving on to dispositions, acquisitions and development. As Diane discussed, year-to-date, we have been very active with acquisitions, increasing our portfolio in 2 of our stronger segments: residential and senior housing in the medical portfolio. We closed on all previously disclosed multifamily acquisitions and are actively working on additional apartment acquisitions in our core markets. The development projects are all detailed in our filings with Quarry Ridge II in Rochester, Minnesota at 159 units set to open next week, and Williston Garden Apartments is scheduled to be fully open at the end of this month. Quarry Ridge in Rochester, Minnesota is currently pre-leased at approximately 80% and of course, Williston will open 100% occupied. We are seeing a number of additional development opportunities on the commercial and residential side, which we hope to finalize for construction during the coming fiscal year with potential delivery in the second half of fiscal 2013 or early fiscal 2014.
 Our acquisition and development cap rates range from approximately 7% on the multifamily side to as high as the mid-teens and to as high as 10.5% on the commercial developments, with an expected average on all projects to be approximately 8% to 8.5%, of course, subject to lease-up on the -- under construction multifamily and senior housing expansions. However, it appears that much higher cap rates are achievable for development in the energy-impacted markets of North Dakota and Montana. 
 Even as IRET completed all currently available opportunities, the overall scale in many of these communities is limited due to infrastructure constraints, contractor capacity and in many cases, the availability of suitable debt capital. As for dispositions, we have listed for sale a number of smaller non-core assets we expect to sell over the next several months with the proceeds to be deployed into new development and general corporate purposes. As mentioned by Tim, we expect to dispose our mature assets on a more consistent basis. Over the last several years, we have averaged on annual -- on an annual basis approximately $100 million in acquisitions and developments, while averaging about $20 million in dispositions. We expect this level of activity to remain stable going forward with perhaps a slight increase in the level of dispositions. 
 Thank you, and I will now turn the call back over to the moderator for questions. 
Operator: [Operator Instructions] Our first question comes from Mike Salinsky from RBC Capital Markets. 
Michael Salinsky: You've been pretty active on the multifamily front there in the Bakken, any plans on the industrial or office front there? 
Thomas A. Wentz Jr.: Mike, this is Tom. Yes, we're certainly looking at those opportunities. As you're probably aware, we leased our former corporate headquarters to Hess oil and we're currently engaged in industrial build-to-suit for a subsidiary of Superior Energy, which is an NYSE company. But I guess to answer your question, yes, we're looking at all available development opportunities that would be energy-related, including industrial and Commercial Office. 
Michael Salinsky: Okay, that's helpful. Second question, just given we're a couple of months now into peak-leasing season on the multifamily side and the result were as of the end of April, can you give us just an update what you're seeing on the multifamily side in May and June? 
Thomas A. Wentz Jr.: Well, really no change to the trend. I guess, I haven't looked at the detailed numbers yet, but we're not seeing any material deviation, really, from the trends we've seen over the last year. I think, as I mentioned during my comments, at approximately 95% effectively leased. At that point, really, our focus was on growing rents with our existing customers and controlling expenses. There's really not much more upside and occupancy on a portfolio basis and so that's really where our focus is -- are going to be. 
Michael Salinsky: But as you have been pushing rent, you haven't seen any material drop-off in occupancy? 
Thomas A. Wentz Jr.: No, our apartment portfolio continues to function very well, and I guess we don't expect to see any change in the trends that we've identified that we've reported over the last 12 months. 
Michael Salinsky: Okay, that's helpful. Third question, if you can, in the prepared comments there, there was a mention about reallocating some resources to the commercial side to kind of focus in on some opportunities. Where do you see the opportunities on the commercial side given the resource -- your decision to kind of reallocate some resources towards that? And should we expect any kind of repositioning similar to what we see on the multifamily side over the last 18 months? 
Timothy Mihalick: Mike, this is Tim speaking. As we continue take a look at our Commercial Office and the suburban office. We take a look at both the Twin Cities and the Omaha markets. And as we look at both of those, I think the push is going to be to lease-up and to find occupancy increases there to potentially position those assets for either refinance or to move into potential sales. I think those will be where we see opportunity on the commercial side in both of those markets. 
Michael Salinsky: Okay. Then finally, in terms of the development, their funding, how would you -- for the Williston project, would that be funded with recycling proceeds, additional debt, ATM issuance or what? 
Timothy Mihalick: Yes, I think a combination of all of those. I think we obviously see opportunities in front of us. And as Tom touched on, when you take a look at the returns in the Bakken play, those are opportunities that we want to take advantage of. And so we will use all sources of equity as we look to move forward. 
Operator: [Operator Instructions] Our next question comes from Carol Kemple. 
Carol Kemple: On the property management expense, what would be a good run rate going forward? I know it dropped a lot. I know there was a $700,000 benefit you all mentioned. What -- where would you expect it to be next year? 
Thomas A. Wentz Jr.: Well, in multifamily expense, that's difficult to predict. I mean, if you look in some of the detail, obviously, there's pressure on real estate taxes in a number of our jurisdictions and markets just because of the states and local municipal government pressures. But I think we still have a little bit of room there due to our internal management. This past year, we brought in the last significant piece of our portfolio in Topeka, Kansas. And so I'm optimistic that we have a little bit more room there even though we're coming out of a year where we had some favorable trends, but I think where we're at can be improved slightly. Again, apartments from an expense standpoint can kind of get away from you if we have spikes in vacancy or other unforeseen pressures that require a little bit more money on maintenance and turn. But I think we're pretty comfortable that we've got a little bit more room to go there. 
Timothy Mihalick: Carol, it's Tim. And if you take a look at that fourth quarter, what exhibited there as a run rate would be a good indicator as you look to move forward. 
Carol Kemple: Okay. And then it was about a year ago that you all made the change to your dividend policy, I think? Where are you all at now with what you're thinking on the dividend going forward? 
Timothy Mihalick: As we continue to look at that, that's something we'll analyze on a quarterly basis. I think as we talked a year ago, we set the dividend with the expectation to continue with that $0.13. That's something the board will decide on, but we certainly want to see an increase in earnings as we move forward as we make those decisions. 
Operator: [Operator Instructions] Our next question comes from James Bellessa from D.A. Davidson. 
James Bellessa: Two questions. Maybe because I got on just a little before -- after you started. Where do you find the presentation slides that you referred to? 
Timothy Mihalick: It should have came up on the call, right, as I understand it? 
Lindsey Anderson: On the webcast. 
Timothy Mihalick: On the webcast. 
James Bellessa: Okay. And that will be posted on a replay or something like that... 
Timothy Mihalick: Yes, they will be. 
James Bellessa: Okay. And then the settlement claim that you received or claim against the bankruptcy estate of a former tenant, how much was that? 
Diane Bryantt: A little bit over $700,000. 
James Bellessa: Now from an outsider's point of view, that was an unpredictable event, is that correct? 
Diane Bryantt: That would be correct. It was a claim back in 2009. Yes, nothing was on the books as expectations for payment. 
James Bellessa: Okay. Do you have any other events like this possible in the coming quarters? 
Thomas A. Wentz Jr.: Well, this is Tom. Jim, that's difficult to predict. I mean, at any given time, I mean, we've got credit events with the tenants. I mean, we've always aggressively pursued those and filed the proofs of claim to the fullest extent, but that's just something that's really speculative to look at. I mean, I guess, the only guidance would really be to go look at bad debt over the years and try and come up with some guestimate, but very difficult to estimate. And I would say there's nothing really material out there that's pending. 
James Bellessa: Okay. And what was the explanation of why these proceeds reduced property management expenses? 
Diane Bryantt: Jim, that would be because of recovery of bad debt written-off or of rents written-off. So bad debt expense is a function within property management expenses overall. That's where those entries to the allowances are made, so that's the category it would fall into. 
Operator: [Operator Instructions] And ladies and gentlemen, at this time, I'm showing no additional questions. I'd like to turn the conference call back over to management for any closing remarks. 
Timothy Mihalick: Thank you. This is Tim Mihalick again. I just again want to offer my thanks for your attention this morning. With the realization that we in IRET expect to continue to grow in our core markets, obviously, the tenant we've identified, we'll work hard to improve earnings for the benefit of our shareholders. We certainly look forward to those of you that we've been out and seeing on the road, and hope to see more of you as we have the opportunity to get out and tell the IRET story as we move forward. Thanks again for your interest. 
Operator: Ladies and gentlemen, we thank you for joining today's conference call. It has now concluded. You may now disconnect your telephone lines.